Operator: Good morning, and welcome to the earnings call for Raymond James Financial's Fiscal 2015 First Quarter Results. My name is Felicia, and I will be your conference facilitator today. This call is being recorded and will be available on the company's website. Now I will turn it over to Paul Shoukry, Vice President of Finance and Head of Investor Relations at Raymond James Financial.
Paul Shoukry: Thanks, Felicia. Good morning. On behalf of our entire leadership team, I want to thank you for joining the call this morning. We really do appreciate your time and interest in Raymond James Financial. After I read the following disclosure, I'll turn the call over to Paul Reilly, our Chief Executive Officer, and Jeff Julien, our Chief Financial Officer. Following their prepared remarks, they will ask the operator to open the line for questions. Certain statements made during this call may constitute forward-looking statements. Forward-looking statements include information concerning future strategic objectives, business prospects, anticipated savings, financial results, industry or market conditions, demands for our products, acquisitions, anticipated results of litigation and regulatory developments or general economic conditions. In addition, words such as believes, expects, anticipates, intends, plans, projects, forecasts; and future and conditional verbs such as will, may, could, should and would as well as any other statements that necessarily depends on future events are intended to identify forward-looking statements. There can be no assurance that actual results will not differ materially from those expressed in the forward-looking statements. We urge you to carefully consider risks described in our most recent Form 10-K, which is available on the SEC's website at sec.gov. So with that, I'll turn the call over to Paul Reilly, CEO of Raymond James Financial. Paul?
Paul Reilly: Thanks, Paul, and good morning, all. I've got a little cold here. You'll have to excuse my voice. While we're here in St. Petersburg focused on recruiting, we can watch the word leaders focused on solving the world's problems, but it's a little bit warmer here in St. Petersburg than in Davos. I'd like to start by saying first, I think that it's a solid start to our fiscal year, especially considering the volatility and uncertainty in the whole Capital Markets segment. Quarterly net revenue of $1.25 billion is up 6% over prior year and down from the 3% from the preceding quarter, but they still -- part of that is based on an adjustment we'll talk about. And we're also comparing it to last quarter, which was an exceptional investment banking quarter. Pretax income of $203 million, which is a 16.2% pretax on net revenue. Net income of $126 million or $0.87 per diluted share. Our ROE annualized hit 12% on a conservative and, some would argue, prudent capital base, given the state of the economy. And particularly 12%, given the rate environment, we believe is very good on our capital base. Most importantly, our key drivers of our business are up: record quarterly AUA of $483 billion, down from last month but a quarter record; record quarterly assets under management of $66.7 billion; net loans of $11.8 billion; and maybe most importantly, which drives those other factor, is a net 71 addition of financial advisors in the quarter alone. Going to the Private Client Group, quarterly net revenues of $845 million, up 8%, but down 2% from the previous quarter, 8% over last year. Now $19 million of that revenue, Jeff will address, the $10.5 million kind of mutual fund adjustment, which adjusted in this quarter but you could have spread over the last 5 years. And 6% plus in some syndicate and insurance and other commissional products that was down in the quarter. Pretax income of $93 million, which is 30% over last year's quarter, and 11% pretax margin to net revenue. So a strong performance by the Private Client Group, which keeps marching on. Retention, keeping our good advisors is job 1 and we had good results in the quarter. And recruiting is job 2, with 158 additional advisors over last year's quarter and 71 over the sequential quarter. The pipeline of our HOV, which are home office visits, is very robust, and we look forward to a good recruiting season. Client assets under administration are $459 billion. 38% of that is in fee-based accounts. In fact, our total recurring revenues in the Private Client Group segment are hitting about 75%. Capital Markets quarterly net revenue of $232 million, down 3% from last year and 11% sequentially. But again, last quarter, we had kind of a record -- we had a record investment banking revenue year. M&A stayed very good at $47 million, but other investment banking revenue was down. And the number of deals in the U.S. were essentially flat. We had a few less lead deals in that quarter. And our fee per deal, our revenue per deal that we participated in was down. And this was compounded by very weak conditions in the Canadian capital markets, an energy-based economy, which has been tough going. Our Tax Credit Funds are also down about $6 million due to timing, not to run rates, just when we close deals. So they all impacted the quarter. Volatility helped our institutional commissions, up 10% sequentially in equities and 12% in fixed income. Our trading profits were down, but again some unusual factors. $2 million of that was due to fixed income, softer previous quarter. But $3 million was really write-down in Canada due to an energy-related deal and a bond deal that we were right lead on. So those impacted trading profits. Asset management is kind of humming along, record quarterly assets of $66.7 billion, 10% over the private (sic) [prior] year, both by market appreciation and net flows, about $800 million of net flows on managed accounts for the last quarter. Record net revenue of $99.6 million benefited from a $5 million performance fee. We had a record pretax of 39.8% -- I mean, pretax of $39.8 million, which gave us a 40% margin, but that's due to those factors and we'd expect that to move more towards that 30% margin target. RJ Bank, record net loans, up $850 million sequentially. Part of that driven by an acquisition of the $207 million residential portfolio. Record quarterly net revenues of $100.5 million. Pretax of $66.4 million, up 20% over last December -- over last year's quarter. NIM improved 2 basis points over last quarter, essentially flat with last year. The loan loss increases were almost entirely due to loan growth, not credit issues. In fact, our credit metrics continued to improve. If you looked at nonperforming assets as a percent of total loans, it declined from 60 bps from 69 bps a year ago and criticized loans were down also. So with that, I'm going to turn it over to Jeff, who would go into some more of the detail numbers. Jeff?
Jeffrey Julien: Thanks, Paul. Paul touched on several line items, but -- so I'll try to just hit the ones that he did not touch on. When you compare this quarter to last year's quarter in general, most of the revenue and expense line items are pretty self-explanatory. Commissions and fees are up obviously, largely PCG and just our general size with more advisors, more assets, et cetera. He touched on advisory fees. We did have a performance fee last December as well, in fact, about twice the size of the one this year. So that's an even more impressive gain in advisory fees over the prior year. Interest is up on the revenue side and net side, just as -- primarily as a result of the bank's growth. Finally all that loan growth we had is kicking in to net interest. Account and service fees is going to continue to grow just as our general size grows. I know we said last quarter maybe 108 [ph] was the right run rate and that's kind of where everyone had modeled it. But the fact is, between all the various types of fees that go in there with IRA fees, transaction fees and some rep fee accounts, all kinds of fees that are assessed around the organization -- actually, the fees we get from other banks in our bank sweep program, remember, that's not interest, that's fees to us. All those things fall into that line. So that's going to continue to grow as our overall asset base grows. Paul has touched on trading profits and the factors there. Other is down pretty significantly from last year. But last year, we had a bigger private equity gain in the quarter than we did this year. And we also had $5.5 million of gains from ARS redemptions that we did not have this year. On the expense side, there's just a couple of things that deserve mention. One is, versus last year first quarter, communication and information processing is down pretty significantly, also down just slightly from last quarter, the preceding quarter and certainly versus your estimates. And I know that's because of our guidance toward a bigger number. While we have -- you might think this is a fairly easy line item for us to budget, but the fact is, while it's not difficult to budget total spend, it's a little difficult for us to judge when and how things will be capitalized versus expensed when things are completed along the way. And it's also difficult, as other example in various projects, if we use employees to do the project, whether it's a maintenance project, whatever, it can be an expense item. And if we hire outside consultants to do it, it falls in the IT expense line item. So it's a little difficult for us to get the P&L impact on that line item. Although we certainly talk about total spend at the budget meetings quite a bit. Business development's going to continue to increase, largely due to recruiting efforts. Investment advisory, sub-advisory fees, obviously a growth in assets where we're the advisor and we sub-advise in some of our programs to unaffiliated managers. The bank loan loss provision is up pretty dramatically from both the last year and last quarter. And that's -- I don't think $9.4 million provision expense should really shock anyone in light of $846 million in net loan growth in the quarter. That's not all corporate loan growth. It's in the various categories. So I know through November, I think we'd only had $300 million of net loan growth from the September. So obviously we had a very, very active December in loan growth at the bank, and that -- including a pool purchase of residential loans, and that led to the bigger production and the bigger provision for the quarter. And then the Other expense, so that's another item that's going to get bigger just as we get bigger. There are a number of individual small items that go into that particular line item. Versus the preceding quarter, the securities commissions and fees, as Paul mentioned, they were up nicely on the Capital Market side, but down sequentially in the Private Client Group side. And that decline of about $19 million was -- about half of that, a little more than half of that, was made up by this mutual fund adjustment, which relates to our going back 5 years related to share classes used in retirement accounts. We've heard that this was going on at other firms, so we voluntarily went back a 5-year period. And that's kind of a systemically generated worst-case-type number. I think when we scrub it, we may have some positive adjustments to that going forward. But for now, it's about a $10.5 million-type item that we've chosen to reverse out of commissions. Again, it covers over a 5-year period looking back. And then appropriately, we took the corresponding reversal of expense, commission expense related to that. Investment banking, we had a huge September quarter, record quarter for us in September. So obviously you would expect a good decline there. Again, we -- Paul mentioned it's pretty active. Just the economics per transaction were a lot lower than they were in the preceding quarter. We talked about investment advisory fees are obviously tracking assets, and we had the performance fee this time. Interest is still generated at the bank predominantly in terms of the increase. The Other revenues are actually up nicely. We had a little more PE gains and we also had, this particular quarter, we had a sale of an REO property at the bank for a profit, which kicked in there. On occupancy and equipment, it may look odd that, that would decline. If you remember, it was a little bit high in the preceding quarter. We talked about a couple of factors in terms of some maintenance work that was being done. It's at one of our facilities in Southfield and some things like that, that made a little bit higher than the run rate last quarter. So it's really kind of on track. And then the other expense, one other item I'll mention that's kind of ratcheting up other expense. We actually have several of our Tax Credit Fund deals that have been purchased by our own bank as part of their CRA program and it's a good after-tax return to the bank. The accounting has been changed on those such that if you buy them from a third party, the tax effect of the -- what would've been a pretax loss all gets netted down below in the tax line. However, since we're buying it from an affiliated party, on a consolidated basis, we end up showing that as a loss, a pretax loss on our statement. And then, of course, bondingly [ph] , we get a tax benefit. So not a huge factor. We only have, I think, 3 transactions that we own at the bank. But just one more nuance that's going to impact us. Let me just talk about 3 other things. Our pretax margin obviously came in well above our 15% target for the quarter at 16.2%. And perhaps our internal target may ratchet up over time here given the state of our businesses and the fact that we're seeing the leverage from the increased revenues in these businesses that we've talked about over the years. Comp ratio was down to 67.2, but remember we had a couple of adjustments. We had some -- this mutual fund, the expense side of that, was reversed in there. We also, in every December quarter, reverse whatever over-accruals we had from the prior year in incentive compensation pools. That's a factor every year. We try to keep it under $10 million, but so it's -- but it's there every December quarter for us to some extent. Without those things, it would've been in the high 67s or -- and again, that 68's an annual number, an annual target for us, not necessarily to happen every quarter. This one's -- because of the incentive comp reversals is typically a little lower, and then next quarter would be a little higher with FICA restarting and other things that we talked about a year ago. And lastly, the tax rate was 37.8%, a little higher than was projected. And I guess I would say, we try to, every quarter, look at what our annual tax rate is going to be based on what we know for the year-to-date. We don't know a whole lot by the end of December for the whole fiscal year, but one of the things we do know is what the COLI gain or loss is. And it was a nice gain for the quarter. It was about $6 million gain for the quarter. But we assume, for the balance of the year, that it's not going to change. We don't assume that, that's going to be $6 million per quarter. So on a bigger pretax income base, we have less effect from that. And we sort of somewhat conservatively, I think, estimate all of the annual impacts just because we don't want any negative surprises or to minimize the negative surprises toward the end of the year in terms of the tax rate. But for those modeling forward, if you assume a flat market rate environment or flat choppy, that 37.5% type tax rate probably is still a pretty good estimate to use going forward. Paul?
Paul Reilly: I'll give you kind of a little bit of a forward look. Again, once I'll repeat the good -- the areas that's the key drivers of our business, which is related to the Private Client Group, are all very positive. So assets under administration, since we bill quarterly in advance, we get some tailwinds from that. Our assets under management are up. Net loans took the provision this quarter, but of those loans should be producing next quarter. Recruiting remains robust, and this is the kind of peak recruiting season this next quarter or so in terms of visits. So it takes a while between a visit and a sign on, but that's been going very good. And Private Client Group, productivity of the advisors continues to go up. So we should have a tailwind in that area. This also impacts asset management in the bank. So for us, the key is our culture is that -- I think one of the reasons that our net additions are so good is that we're very focused on making this a very friendly place to work and that's our #1. It allows us to keep people. It allows us to offer less transition assistance than other firms do to bring people in because people want to be here. We continue to invest heavily in our tech spend so when it gets down, I think the annual run rate we still hold to. I believe we're becoming a leader, really, in the FA desktop technology. Asset management continues to grow with net flows driven by PCG recruitment. Again, the 40% margin, I think, was a blip. That 30% margin's more a normal run rate for it. Bank growth is always tougher to predict. As Jeff said, last quarter wasn't really big through November and then we had a great December. Been a little slower start in January, so it's always hard to predict what's going to happen there. The NIM increase of 2 basis point, I think, spells  that -- hopefully, that spreads are widening a little bit. But...
Jeffrey Julien: On that, I think we're still comfortable with the mid-teens guidance in overall net loan growth for the year. And I think we're still comfortable with 3%-ish net interest margin for the year, even though we've seen some gradual improvement here.
Paul Reilly: And then Canada will have some impact next quarter. The 25 bp decrease does affect our variable rate loans in Canada. It's about a $600 million book. So -- but all in all, I think, we're in good shape from those businesses. Capital Markets is a tough one. Volatility increase has certainly helped institutional commissions. But volatility sometimes makes it harder to go to market, depending if it's volatile trending up or volatile trending down, but -- so that has some questions. And we do have a very good oil and gas midstream energy practice, one of our biggest practices. Certainly in terms of financings, could impact us short term if oil prices stay down. Certainly, M&A aspect, which we do a fair amount of also, would be up. And the Canadian business is certainly impacted because it's a commodity-based practice. But even within that, we're growing our platform. We added a consumer team last quarter. This quarter had -- added a life sciences team and a new head of M&A in Canada. Public finance, coming off a great year, still a tough market. We went from actually 10 to #8 in the league tables for full credit to lead on negotiated issues. For the first time, hit over $10 billion last year, but still a tough market. Fixed income trading profits are more difficult as you get a flatter yield curve. Institutional commissions certainly have increased. There's been a lot of questions, I guess, for everyone in general on energy exposure. So I'll talk a little bit about ours. If you look at our loan book, there's about 3.4% of our loans are broadly in the energy sector. We only have one loan to an E&P company, and it's an investment-grade rated facility. And that we have -- we do have some servicers, small exposures, but most are midstream kind of companies and we feel pretty comfortable with our loan exposure. We have been stressing it and don't feel, unless oil prices stay down for a very long time, that we'll have a negative impact. So we like our credit exposure. Certainly, I think oil prices are good for consumers long term, so we have a big consumer base business here, so it may show up in other parts of our business. In short term, it could have an impact on our investment banking financing part of our business, but creates an M&A opportunity. The next quarter, in some ways, is a tougher quarter for us. It's -- sometimes, when a lot of deals close by year end, you don't know what's going to happen in the first quarter in banking. Certainly, our comp ratio will be higher for a number reasons, not just the reversal going away but FICA hits us in this quarter. As you remember, if you go past, it's one of the increased costs. We also sent out lots of statements at the end of quarter. And there's a few million buck impact on that, that hits us in this quarter for annual reports and client statements. So with that, the basics of the business are really strong. I like being here at Raymond James with our position in terms of growing assets, capital and advisors. Short term, it's hard to tell in this type of environment with both the global economy and what's happening in the U.S. We feel very, very comfortable in our position for the year, but it's hard to predict what's going to happen next quarter. So with that, Felicia, I guess we'll turn it -- open it up for questions. Felicia?
Operator: [Operator Instructions] And your first question comes from the line of Devin Ryan with JMP Securities.
Devin Ryan: So I just want to dig in a little bit on the NIM in the bank. And I guess, the puts and takes there, because I know there's a lot of moving parts with -- clearly, some rate pressure here but then the loan growth has been so outsized and not all that has been reflected yet. So I guess the question is, does it go up structurally with the loans that you brought on? And then kind of the offset is the more recent rate pressures, things are a little off. But I'm just trying to think through kind of some of the moving parts to how you stayed at 3% or even if that may even go up a little bit from here?
Steven Raney: Devin, it's Steve Raney. As Jeff alluded to, the 3% is kind of a good target, I think, for the balance of the year. I would say right now we're seeing actually maybe a slight widening in corporate credit spreads. Residential spreads have probably pulled in a little bit, but things are relatively stable right now. So we're pretty confident that, that number's going to be pretty flat for the balance of the year when you blend it all together. I'm sorry, Devin, I was just going to remind everybody, the vast majority of our loans are floating rate, LIBOR-based loans, both our corporate loans as well as our growing securities-based loans where we're making loans to Raymond James clients secured with their Raymond James brokerage account. So those 2 loan components are almost exclusively LIBOR-based floating rate loans.
Devin Ryan: Got it. And then with respect to the debt underwriting business, I mean, I know there's some pressure this quarter, as you alluded to. But I mean, I guess, the revenues just look pretty soft given that you had some pretty nice improvement there the past few quarters. So just a little more color there would be helpful. Was there seasonal factors? Or was it related to just kind of the macro backdrop? And the outlook for that business specifically, just given that kind of we took a decent step back here this quarter?
Paul Reilly: I can tell you, we're -- our pipeline is strong. We've moved up in market share. It's just the macro market. So when it increases, we'll do well. We're well positioned. We have a good team. We're continuing to expand the team, actually, and grow in the market. So there's nothing -- it's hard to tell. The backlog is very good in the business, but it's just new issues are down across the board. So...
Devin Ryan: Got it. Okay. Fair enough. And then just lastly here. With respect to the -- just a cleanup item, the commission adjustment that occurred, the corresponding expense, I mean, was that in the independent channel or the traditional channel? I'm just trying to get a sense because I know that, that can have a big impact in terms of what the commission rate is that was netted against it. So I'm just trying to get kind of a better sense of the actual earnings impact.
Jeffrey Julien: We just made a broad assumption at this point of half and half. And then took us -- I think it was about -- blending in to about a 60% charge to -- or payout rate.
Operator: Your next question comes from the line of Chris Allen with Evercore.
Christopher Allen: Just wanted to talk a little bit about the communication information processing line. You guys provided some color there. In the last quarter, there was -- you talked about being on a bit of a hiatus in terms of capital projects. I mean, we're just trying to think about how that line should look going forward. It is kind of a good run rate right now? Or should that start to creep back up again?
Jeffrey Julien: I think it will start to creep back up. Remember, Paul mentioned that the next quarter -- it's not just IT. It's really all -- what we call, all communication. So we put some of these mailing costs and things like that in there as well, which are seasonally high in the March quarter. With 1099 year-end statements and shareholder information, that's over a $2 million charge just because of that. And to the extent that we've kept up our spend rate, which we are still investing heavily in technology to stay current here, some of the things that we've been working on will start to amortize. Some of that will be kicking in. So I would certainly expect it to creep back up toward the -- where we had been guiding previously, which was the low to mid-60s. But it's -- again, it's a little hard -- bit of a hard number to put our thumb on it, so I can empathize for your situation.
Christopher Allen: Got it. And then I appreciate the color just in terms of the energy exposure in the loan book. Just wondering how big of a component the Capital Markets business has energy been historically. I mean, it sounds like stuff out of Canada is a little bit weak right now and you provided disclosure on the Canadian overall revenues. I'm just wondering, within the bank, how big is -- I'm sorry, within the Capital Markets piece, how big energy is.
Paul Reilly: It depends when.
Paul Shoukry: 15% last.
Paul Reilly: The last year was 15%. It goes up and down. Real estate's our biggest practice, followed by energy. But depends how those cycles are doing.
Paul Shoukry: And of that 15%, a good portion of that was advisory based as well. So it wasn't all underwriting. 15%, 20%.
Christopher Allen: I mean, I would imagine this current pullback's going to create some opportunities longer term within that business, so not all bad.
Paul Reilly: Yes.
Christopher Allen: Just the near term, obviously, is a challenge. And then just one other question. Just within the bank, looks like other income, that was about $4 million roughly, $3.5 million to $4 million. So I was just wondering if there's anything onetime in there? Or is it -- just because it was a big jump from what we calculated last quarter.
Steven Raney: Yes, Chris, one of the things that we alluded to earlier was the sale of a OREO property, a property that we had foreclosed on, where we sold it for more than we had written it down to. That was about a $550,000 contribution. There's a bunch of other items that are comprised in there. Foreign exchange, we mentioned in the September quarter that we don't have any other foreign exchange. We've moved the loans, the Canadian-denominated loans to the Canadian finance companies, so they're -- we're really fully hedged now. So we don't have that volatility in the bank's earnings going forward. So those were the contributing factors.
Jeffrey Julien: That was a loss -- negative in the September quarter.
Steven Raney: In the September quarter, right.
Operator: Your next question comes from the line of Christian Onwugbulu with Crédit Suisse.
Christian Onwugbolu: Just a follow-up on the tech spend, but a bit of a broader question. You've done a very good job in terms of improving solutions for advisors. But I'd like to get your latest thoughts on what areas you're targeting for future investments. And also, any thoughts on any additional investments you did for things like data security?
Paul Reilly: Well first, I'll take them in reverse. We take data security very, very seriously. And we've had -- both our auditors and another consultant kind of review our security. And we get high marks for our size. We've -- Bella and her team, and the person that heads our data security, have done a great job. As you all know in this environment, we think we're as safe as you can be, but nobody is bulletproof. So we're very active in it, with active monitoring. And so it has been a focus area. And I guess the bad guys get better and we continue to spend more, but we feel like we are as state-of-the-art as anyone in this area. Certainly, we can't spend what the biggest firms spend, but nor do we have as -- the broad global exposure. In technology, we continue to -- we've focused a lot on the FA desktop and reporting. We're spending more time now on cash movement, whether it's taking a picture of a check and depositing it or making it easy to journal or make our trading systems easier, integrating a lot of our data platform so that we can do more data mining and -- on the underlying systems and be able to add new modules. So it's pretty broad based. We started out with a plan, a 5-year plan. We're halfway through it. We're right on every place we are and we continue to improve and get better. So it's certainly just upping the quality of the system all the way across to make our advisors' lives easier and to be able to manage the business better.
Christian Onwugbolu: Okay. Makes sense. And then on the fixed income business, I appreciate it's very hard to forecast, but your results have held in pretty well here. If the environment stays as it is today, just love to get your latest thoughts on how you see kind of revenue trajectory there over the next year or so?
Paul Reilly: Gosh, I would've been wrong calling the bottoms for a while. So I guess the worst case scenario is that the short-term rates go up a couple of hundred bps and we have a flat yield curve through the 10-year and -- for fixed income. However, if we were voting for it, it would be very good for Raymond James consolidated. So certainly, volatility is helping trading, but the flatter the yield curve, the harder it is on trading profits and on -- and even on commission volumes long term. So a low flat curve is the worst case. And if you had to predict, it looks like we're moving closer to that than farther from it right now. So we like volatility and the steeper yield curve. So you're going to have to make the predictions on that business. But we've got a great team and great distribution. They're very active with the clients. And so you're right, we've done better than most. But I can't tell you what the macro trends are. I can't say I see anything short term that's going to make the business look a lot better. And I -- as I tell our people internally, and I believe this, we have an A team in a D market, and we're still at double-digit margins and with terrible markets. So I don't see short-term relief, but we've got a good team.
Christian Onwugbolu: Okay. And just lastly for me, Jeff, just remind us, of your client cash, how much client cash you have currently on the platform. How much of that is being swept to third parties and what kind of yields you're getting on that sweep?
Jeffrey Julien: Yes, we're up to about $32.5 billion. It has actually increased as we brought on new clients and new financial advisors from the end of September. We have probably $28 billion of that $32.5 billion sitting in our bank sweep program; $10.5 billion of that, roughly, going into our own bank; and the balance to unaffiliated banks. You know what the spread is in our own bank because we've talked about the NIM. The spread from outside banks, it's a pretty big range, but we're seeing some upticks in that. There's more demand from outside banks. So we've seen an increase. We're over 30 basis points now on average, and we're seeing all of the new contracts that come up for renewal. And the new banks that we're bringing on are at higher rates than the ones that are running off. So we've seen a little turnaround there, really started about 6 to 9 months ago where banks actually now want deposits again. They aren't quite as easy to come by as they were in the past.
Operator: Your next question comes from the line of Bill Katz with Citigroup.
Neil Stratton: This is actually Neil Stratton filling in for Bill this morning. I just want to ask a question about the Private Client Group. You mentioned the robust recruiting trend. So the 2-part question is, a, where is the growth coming from? And then b, how does the productivity compare of the incoming recruits versus the -- sort of the overall platform?
Paul Reilly: A couple of things. First, the growth in general comes from wire houses for people who are, I'd say, from acquired firms as deals build off and they're seeking kind of the cultures they grew up in. So that's general. But also, we've had -- we've focused on opening up the West and Northeast. It's a big focus of ours starting a couple of years ago and it's starting to pay off. So 1/3 of our recruiting growth has come just on the West Coast and Northeast. Now they happen to be amongst the biggest markets or we'd have very low penetration. So we see huge opportunity there and have signed some very large teams and continue to have a lot of interest in the West and Northeast. And if you look at our platform, we have national advertising, national servicing call centers. So the marginal cost, we're already incurring the costs and not getting the leverage on a lot of those areas. So we think there's a really very big opportunity there. It's coming across all of our platforms, employee, independent and our RIA channel, which we kind of reinvigorated. It's picking up in its backlog of recruits, too. So it's really across the board. And we see that if you'd measure it by home office visits, which are people who are serious enough to come kick the tires here in St. Pete and us also interview them, that's up. So it continues to increase. So we think the backlog's very, very good. In terms of productivity, it's higher. And maybe 25% higher on average. And we've also seen, for us, million-dollar teams should be big. In the last quarter, I think, we had 3 teams over $5 million join us just within 6 weeks alone. So we tend to get bigger teams. That doesn't mean we don't get smaller producers that are high quality and on their way up. We're just as interested in them, but the average is certainly up, so it helps move up our productivity numbers.
Neil Stratton: Okay. And my second question is just the outlook for the comp to net revenue ratio. I think in your prepared remarks you mentioned a 68% ratio. Is that still the sort of the target for fiscal '15? And how would that sort of move sort of quarter-to-quarter, if you can provide any color on that?
Jeffrey Julien: I think that's probably still a good run rate to use for this year, for the entire year. What will happen to improve that over time, and it may improve slightly over that this year, is as revenue growth continues, eventually you get some economies of scale in the infrastructure you have here as opposed to -- it's not all variable comp. There are some fixed comp elements to that. So it really is going to come with scale over time as revenues grow. And like I said, it may happen this year if revenues continue to increase from the prior year.
Paul Reilly: Our most challenged quarter is usually next quarter when FICA kicks in across the board. And that usually burns off in the third quarter -- part way through the third quarter. So typically, the pressure on that ratio, given steady business across, is in the next quarter -- this quarter.
Operator: Your next question comes from the line of Steven Chubak with Nomura.
Steven Chubak: So I just had a follow-up question on the FIC business. Just given, I guess now, the shape of the yield curve and the rate pressures that have persisted on the long end, whether we should be thinking about $10 million as the run rate for net trading profits, at least in the near to intermediate term, assuming a static curve, which I know is a big if.
Paul Reilly: They've come in really for a couple of years. That run rate's probably reasonable. I can't tell you it has been -- it hasn't been an increasing net profit, I think, trading profits. This quarter was challenged and we had an unusual situation because of Canada that impacted trading profits. In Canada, everything in equity capital markets is a bought deal, and you got 5 days of exposure versus an overnight exposure. We got in on a deal, which was an energy credit, where we -- it wasn't all place. We weren't the lead left, but we're the lead right. Oil prices went down and we were caught in the position. So that's kind of a one-off thing. That happens every few years, we'll end up in a position on a deal. They do a great job there. But with oil coming in, we got caught on that one. So that's $3 million. That's an unusual item. The rest of it, I think, is kind of steady.
Jeffrey Julien: Yes, if we had to pick a range, too, I'd say that, that would be the low end of the range. So if you want to be real conservative, I guess you could use that number.
Paul Reilly: Yes, but the $3 million's a one-off. So...
Steven Chubak: Okay. Understood. That's really helpful. And then just, I guess, a follow-up to a question earlier on the communications expense. I just want to make sure that we're modeling it appropriately. Should we be thinking about low to mid-60s as the -- or as annualized $250 million or so, given that it came in at about $10 million less than we had anticipated? Should we assume that an incremental $3 million gets tacked on to the normalized rate? Or should we just assume somewhere in the low 60s going forward, at least over the next 3 fiscal quarters?
Jeffrey Julien: For all the reasons I enumerated earlier, it's a little difficult for us to tell. I think low 60s for the -- going forward is probably a reasonable estimate at this point.
Steven Chubak: Okay, and then just one final one for me, maybe for Steve on -- at the bank. Thinking about the provision trajectory, it did increase consistent with the guidance you guys had given last quarter. Should we assume that this is a reasonable run rate expectation given some of the guidance you had given on loan growth for at least the remainder of the year?
Steven Raney: Well, with -- it would -- we're forecasting loan growth to be slower for the balance of this year relative to the December quarter, and we would expect provisioning to be aligned with that loan growth. So...
Steven Chubak: Does that 130 to 100 -- sorry, does the 130 to 140 basis point provision expectation still hold? Or is there any remixing issues that we need to consider?
Steven Raney: No, that's about right. Yes, the blend of the business is -- does impact that. Our residential provisioning is lower than our corporate lending provisioning, as is our securities-based lending is lower as well. So -- but I would say that's kind of a good 125 to 140 basis point provisioning on loan growth.
Operator: Your next question comes from the line of Hugh Miller with Macquarie.
Hugh Miller: So I guess starting with a couple of questions for Steve. I appreciate the color you gave on the NIM and kind of the widening of credit spreads and how that has kind of been helpful to offset some of the pressure on the yield curve. Wanted to get your take on kind of deposit pricing competition when we start to get into an eventual rising rate environment. It seems to be, I guess, 2 schools of thought that we've been hearing where some people are expecting that banks will kind of use that increase as a means to kind of lift their NIMs and not really compete as much on deposit pricing; where others are expecting some of the larger banks to have to compete actively because of their liquidity coverage ratios. Was wondering how you anticipate things might shake out when we do see rates rising and how competitive deposit pricing competition is likely to be?
Steven Raney: Yes, Hugh, there's a lot of unknowns, given that this is totally uncharted waters for all institutions, given the regulatory framework that you just referenced. And the rate setting that takes place, that impacts us, is really kind of a firm-wide discussion. We'll certainly be looking at what the competitors are doing. I think that there is some sentiment that as rates rise, when we get back to maybe more normalized rate environment, that not all of that will go to the depositors. But that's yet to be determined in terms of what the competition is doing. We want to do what's fair for our clients, first and foremost. But we do think that rising rates on the short end, that probably would help our net interest margins around the firm, not only at the bank but the fees -- the spread on other cash that Jeff referenced, where we only have about $10.5 billion of the $32-plus billion of client cash balances being deployed at the bank currently.
Jeffrey Julien: Even if it gets more competitive, I think the assumptions that we're operating under already sort of take that into account. Because I've not heard anybody be as conservative as we are in terms of client sharing of a rise in rates at this point.
Hugh Miller: I definitely appreciate the additional color you guys have been giving. It's very helpful. And then some questions on the Capital Markets side. I noticed the hiring that you guys made with the director up in Canada for M&A, and I was wondering if you could just talk about the opportunities you're seeing up there. And historically, how much business you guys have produced for Capital Markets in the Canadian region?
Paul Reilly: It has certainly been mixed. It was -- Canada is better than us in '08, '09. '11 was very strong year for them, and it's been slower since, because it's commodity based. So the one thing we do know is, in Canada, too much has been on financings and we haven't really had an active M&A business. Our M&A work -- whereas half our revenue here is roughly in the U.S, it's been episodic in Canada and there's no reason for that. There's plenty of business. So we've been looking either for a firm or a leader now for a couple of years and finally was able to recruit someone after couple of years' effort, and we think we have the right person to build out an M&A business. So we think that will certainly help smooth out the Canadian Capital Markets business. And I don't know if we were projecting. He's just on board Monday, so I mean, not predicting any short-term impact from that, but I think Craig's a strong person and a good player and we'll build a team around it. I think that will help us and smooth out the Canadian business, which basically is just a financing business right now.
Hugh Miller: Okay. That's helpful. And was wondering if you could talk a little bit about the risks and opportunities with energy-related capital markets in both underwriting and M&A. I guess we've been seeing a little bit of a pickup in some secondary issuance in energy as people are shoring up their balance sheets. And there's just some discussion about potential near-term lull announcement activity as people are kind of hoarding capitals levels at this point, but longer term expectations are pretty strong. I was wondering what your view is, and what you're hearing with discussions with clients and how concerned they are relative to their expectation to be opportunistic.
Paul Reilly: I think that our view is kind of reflective of that. That first, we're very well positioned in the downstream energy business in particular. And debt financings may be off for a little bit here, but M&A activity will pick up. And when that is, I don't know. And now a big deal was announced yesterday, right? So who knows? So -- but we're in the mix and I -- certainly clients with cash are looking at these prices and looking for opportunities, and producers that are more leveraged are worried about it. So I mean, there's certainly interest on both sides. When you get a deal or how long companies feel like they can hold out or when people think the bottom is, who knows? But I do think that if oil prices stay in the 50-ish level for some period of time, then M&A activity will pick up significantly. So -- and we're lower than that now, but we think M&A is a good opportunity and that eventually financings will come back, too. So -- but I can't predict when that will happen.
Hugh Miller: Okay, I appreciate that insight. And then last question for me. If you could just give us a little bit more color or insight on to kind of the economics per transactions that were a little less than what we've seen before? And is it just kind of a function of where things shook out in certain sectors, where maybe you don't have as dominant a position in? Or was there anything in particular you guys noticed that would cause that to be the case this quarter?
Paul Reilly: It's just in the positioning and where it shakes out. You have -- used as an extreme example, last quarter, Alibaba went out and everyone, even if you had a teeny piece, got a pretty good fee. If you're in the syndicate at any level, in something that size, people do well. And one of the smaller sizes or if you're not the lead, with multiple-lead book runners and smaller co-manager positions, if you're in that co-manager position on smaller deals, you're getting a lot less fee per deal. And in the September quarter, we were on -- we had more lead deals and a lot bigger transactions. And in this quarter, about the same number of transactions. I think we had 3 or 4 less lead positions, but the deals were smaller. So I don't think it's endemic of anything. It's just when the transactions hit and the sectors they hit in.
Hugh Miller: Okay. And I guess, just one quick follow-up. As we think about the backlog from a nonenergy-related standpoint, are there certain sectors that you guys are seeing more interest and activity in, relative to others?
Paul Reilly: I think the interest is still there. So I don't know where people across the board in our business is. Real estate's our biggest practice. But I think if you look at transactions across the board, there are more.  So the other thing that some people kind of ignore, which is a decent-sized business versus tax credit deal, and it's doing really well and we had a bad quarter in terms of closing. We recognize our fees on partnership closings and they're lumpy. We had a very good September quarter. And this quarter was off just because partnerships didn't close, but the backlog's very, very good. So that also -- that and Canada exacerbated what was a weaker quarter. Those 2 made it look a lot weaker than I think it really was.
Operator: Your next question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey: Certainly appreciate some of the color you gave on the bank's exposure to the energy sector. Just wondered if I can dig in just a little bit deeper. This may be a bit too specific for you guys, if you're willing to answer. But when you think about sort of the provision levels that you've got on these loans, would it be essentially relatively higher than what you're seeing on the average of the portfolio? Or could you give us any more specifics on kind of how you think about provisioning for these?
Steven Raney: Yes, Joel, we have 38 borrowers in the energy space that comprise the exposure. We had -- there's $403 million of outstanding loan balances in it. There's 38 borrowers at the end of December. Two of the 38 are in criticized categories. So we have substantially higher reserves on those 2 names. We -- it goes without saying, we've been very diligent here in the last several months reviewing name by name, credit by credit and also, certainly gathering intelligence from our investment banking colleagues and equity research colleagues that have a lot of expertise in this business. So we did downgrade even in the past category, a few names. So I would say, on average, that portfolio has higher provision, higher reserves associated with it than our other sectors as a result of the recent commodity price pressures. So that's kind of the process and we're watching these names very closely for sure. So...
Paul Reilly: But not -- again, I think we're not -- share your concern given prices. But we're not -- we think the names are well -- have good balance sheets, well financed. And certainly, prolonged downturns put pressure on everybody.
Steven Raney: Yes. 75% of the exposure, as Paul mentioned, is to midstream names that typically don't have as much commodity risk associated with them, but continue to watch those as well.
Joel Jeffrey: Okay. Great. And then just, Jeff, if you could sort of give a little bit more color. I want to make sure I understand the commission adjustment. Did you say you guys -- you could have taken pieces of these charge over the past year or so? And kind of why is now the appropriate time to do it?
Jeffrey Julien: We didn't know the -- we weren't aware of the issue until we heard about it at other firms, but it relates to 5 years' worth of activity. This adjustment relates to any potential issues going back 5 years. But what we -- and again, it was a systemic -- systematically produced number for all potential transactions that might fall in this particular category. So it is 5 years' worth of activity, but we didn't -- weren't aware of the issue until just recently. And that's why it's kind of a -- it looks like a bigger number than it should be. And related to 1 quarter, it would be almost nothing.
Paul Reilly: It's a small number going back over time compared to our total commissions. It's just when we found it, we took -- we recognized it and we just found it and estimated it and so it hits this quarter. But it's -- if you amortize that over 5 years, it's a very small number and a very small part of our commission.
Jeffrey Julien: Yes, just -- what we're trying to do is give color to those of you trying to do run rates and things like that. That, that $10 million figure certainly should be a onetime hit to that line item.
Joel Jeffrey: And just so I'm clear, what exactly was this specific issue that it's addressing?
Jeffrey Julien: I don't want to go into a lot of the specifics because it's still very early in the process, but it has to do with which share class of mutual funds were used for certain accounts.
Joel Jeffrey: Okay. Great. And then just lastly for me, in terms of the performance fees for any asset management business -- I apologize if I missed this before. What generated that?
Jeffrey Julien: We have 2 accounts that we're still getting performance fees on and they, I guess, both outperformed their benchmarks for the year. It's based on a calendar-year performance, which is why it hits in the December quarter each year. But it was less than last year. It was over $10 million last year or roughly $10 million last year. It was about $5 million, $5.5 million this year, relates to 2 accounts that have a performance fee associated with them, 1 that has noncontrolling interest associated with it. So it doesn't all fall to the bottom line for us, but most of it does.
Operator: Your next question comes from the line of Chris Harris with Wells Fargo Securities.
Christopher Harris: Another question on the NIM. The guidance you guys are giving here, flat for the year, clearly, I think is a very good outcome given how much the yield curve has flattened. And I guess we're saying, some of that is being supported by higher loan spreads. So I'm wondering, in an environment where loan spreads come back in, do all of a sudden you have kind of a risk to that NIM guidance? And really just trying to figure out whether that 2.70s NIM number we had talked about a couple of quarters ago would come into play under that scenario.
Paul Reilly: Chris, our existing book's floating, so the impact really isn't there. The question is what happens on new loans and new production and what spread we're willing to invest money in the bank in. So certainly, if we continue to invest and decided to make -- we thought the return versus risk was worth it and you continued in a decreasing spread environment, it would impact NIM negatively. If it stayed flat, we run as we are. If rates went up, it should -- and spreads widen, we'd go the other way. But it wouldn't immediately impact the business. It would depend on the new production and what you blend in.
Jeffrey Julien: And how much you participate.
Steven Raney: I mean, we'd pass on deals all the time because we don't think the return's adequate for the risk we're taking. So...
Jeffrey Julien: Just because the 10 years' yield is down doesn't mean it's going to compress. And in fact, usually the 10-year yield comes down when its economic problems and people are fleeing to safety, so it actually can widen corporate spreads, which is kind of what we've seen here recently. So I wouldn't tie corporate spreads to the 10-year except maybe inversely.
Christopher Harris: Right, but I was just wondering if loan spreads came back down, whether we'd get into that 2.70 zone.
Jeffrey Julien: It would, if we participated. And over time, it would have to -- we'd have to run off what's in the portfolio and replace it with the lower spread.
Christopher Harris: Okay. Right, so there would be some time for it to have a big an impact. All right.  Follow-up question on the recruiting. Great quarter for you guys. It sounds like the pipeline is really good. I'm just wondering, was there anything that happened this quarter to create such a large number, the 70-plus advisors that you added? Or might this be kind of a decent run rate for you going forward given how good the pipeline looks?
Paul Reilly: No. If you look at it, it has been lumpy. Last quarter wasn't as big and 2 quarters was big. I mean, so it's just when they show up and we're only partially in control of that. They have to decide to come over and so it's -- that certainly -- if we could -- if you told me we could repeat this quarter 3 more times, I'd take it. I'd sign up for it right now, so it was an exceptional quarter. But I'll tell you, the pipeline's very good and we think that we're going to -- our targets are to do more than we did last year, and last year was our second-best year. And so far, we're on our targets. But it could stop tomorrow. It could go up. And a lot of that's not just dependent on us, it's dependent on the markets. And frankly, a lot of it's dependent on what competitors, the large banks do, because that has more impact on investor -- on advisors leaving than what we do or don't do. Yes, or don't do.
Christopher Harris: When these advisors come on, do you guys get all the assets right away? And so in other words, as all these assets come over, is there a lag effect that happens, so an advisor...
Paul Reilly: There's a lag. And for the larger advisors, we say we get 70%-ish in the first year and then the rest comes on after that. And they typically are growing their business because they're good advisors. So it doesn't all come over day 1. It takes a while for them to come in, yes.
Operator: Your next question comes from the line of Alexander Blostein with Goldman Sachs.
Alexander Blostein: Just wanted to pick your brains on the capital management strategy. I know it comes up every once in a while, but plenty of capital that you guys deployed at the bank prudently, but the share count continues to creep up slightly. So any updated thoughts on, I guess, a, at what point would you consider deploying some capital into the buyback as the multiple, at least in the earnings basis, is not egregious? And I guess, secondarily, maybe an update on, as you bring all these new FAs in, does that partially impact the creep in the share count? And maybe just kind of what is the annual creep in the share count from RSUs and things like that?
Paul Reilly: I'll let Jeff -- our increase in share count's pretty steady. I'll let Jeff address that. It really has more to do with year-end comps than FAs, per se. But if you look at capital, we are deploying a good chunk lately in bank growth and FAs, bringing FAs on. So if you look at free cash, it's -- between bonuses and bringing people on, it's down a bit. We still have capital to employ. We're still looking at acquisitions. We're very disciplined. As I've said before, we've looked at a lot of them and if we can't put -- they're not the right fit and certainly, first, culture; secondly, strategic; and third is price. We've had a number of conversations where price doesn't work. So we're -- we still think we can deploy capital, but we're very, very disciplined, which people should feel happy with. And if we think we truly have excess capital we can't use, we'll look at alternatives of deploying it. At this state, we think we can use our capital wisely.
Jeffrey Julien: And in terms of share count, we typically have been -- we had been in the -- between in that 1% to 1.5% a year type dilution. Really, almost exclusively, all the equity we issue has been retention oriented. We use both incentive and nonqualified options as well as restricted stock units, and we use them for producers. We use them for management people. We use them for highly compensated people. Whatever category they fall in as a portion of their comping shares and shares. So it's really meant to keep people in their seats long term, which has been a successful program for us. Because certainly in the FA world, you know our turnover statistics are lower by far than the industry averages.
Operator: Your next question comes from the line of Jim Mitchell with Buckingham Research.
James Mitchell: Just maybe just a question on flows and what you're seeing on your retail customer base. It seems if we kind of try to back into what the net flows were, it seems like over the last 2 quarters, they've slowed from the first half. And just trying to -- is that just simply a function of market volatility or anything else? Just any insight you have on sort of what your customer flow dynamic is right now. And how you see that developing as you add or accelerate the recruitment effort?
Paul Reilly: Yes, I can't say I've seen any slowing. I mean, a lot of it -- a lot of our net flows are dependent on our recruiting, which has gone well. And so when you get good quarters with lots of people, as they bring on their assets, it'll pick back up some. So I can't say I see anything overall that says our expected net flows should change.
Paul Shoukry: Jim, one thing you sort have to be careful with when you project flows as you're using maybe one index, one stock market index, and our clients have a diversified portfolio of fixed income cash and equities, and even within equities, it's not all represented by the S&P 500. There's international, there's small cap, et cetera. So sometimes your analysis could be skewed if you're using just the S&P 500 to track flow, to estimate flows in PCG, is what I would tell you.
James Mitchell: No, that's fair. So you could resolve that by just giving us the numbers.
Paul Reilly: If we knew them, we would tell you.
Jeffrey Julien: We track those very closely in asset management. For assets under management, we track flows and -- but we don't -- we haven't tracked it as closely on the overall. It just -- if lot of FAs affiliated with us in this last quarter, their assets may come over largely in this next quarter. So there's a lag effect to that as well.
Paul Reilly: I put that in, we know the best. We think the trends are there, but I -- when people say, "Can you -- what's the 10 year going to do?" And I always say, "If knew that, I wouldn't be working." So who knows?
James Mitchell: And I guess, any major shifts in how your clients have been allocating any -- over the last quarter or 2? Is it more equities? Less equities? Just curious.
Paul Reilly: Equity inflows have been okay. I mean, so we actually -- so it's not huge, but it's not...
Jeffrey Julien: Overall mix hasn't changed much in the last 2 quarters.
Paul Reilly: No.
Paul Shoukry: Or really in the last year. Most of the mix change has been more from market appreciation. We have a financial planning orientation here. So our client base doesn't tend to follow equities or fixed income to the extent that some other trading firms do with more stable asset mix.
Operator: Your next question is a follow-up from the line of Bill Katz with Citigroup.
Neil Stratton: This is Neil, again, from Citi. Just had a quick question. Given the NIM guidance you've given for the bank, do you have an outlook for the NIM for the -- for RJF when you include all the interest-earning assets of the firm?
Paul Reilly: We don't think of it in NIM terms.
Jeffrey Julien: Yes, we really don't.
Paul Shoukry: That's -- again, that's a difficult calculation, Neil, because a lot of the cash balances shift from on balance sheet to off balance sheet. And once they shift to off balance sheet to other banks and -- that doesn't show up in interest income, that shows up as fee income. So it's a little bit of a difficult calculation, just based on the mix of whether that cash is being deployed on balance sheet or off balance sheet.
Jeffrey Julien: We focus a lot on total net interest earnings at the holding company level. We don't really focus much on spreads. I mean, it's impacted by inventory levels, how much of inventory we finance, a lot of other factors that I think would render a NIM at the holding company a little less meaningful than it does at the bank.
Operator: And there are no further questions at this time.
Paul Reilly: Great. I know -- I think we ended up in a very good start for the year. I know the frustration is -- predicting a lot of this is around capital markets and -- both globally and domestically. That's just difficult to predict what the economy's going to do. But again, I start by saying that shorter term, it's always hard to look at numbers. And this next quarter tends to have some elevated expense just by the nature of our business. But longer term, if you look at the growth in assets, the growth in loans, the growth in advisors, those are the things that drive a vast majority of our business and they're all very positive. So I feel good about our positioning for the long term and certainly for the year. Next quarter, it's just -- the rest of the business is variable and transaction oriented and hard to predict. I wish we could give you better guidance. If we had a stronger feel, we'd know, but it's just hard to predict in this economy. So with that, we appreciate your time. We look forward to the next quarter and we're going to go back to work. Thank you, Felicia.
Operator: Thank you. And this concludes today's conference call. You may now disconnect.